Operator: Good day ladies and gentlemen and welcome to your Benchmark Electronics Inc First Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instruction will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host is Lisa Weeks, Vice President of Strategy and Investor Relations. Ma'am, you may begin.
Lisa Weeks: Thank you, operator. Good day ladies and gentlemen and welcome to your Benchmark Electronics Inc’s First Quarter 2015 Earnings Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instruction will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host is Lisa Weeks, Vice President of Strategy and Investor Relations. Ma'am, you may begin. Lisa Weeks - Vice President of Strategy and Investor Relations Good morning, everyone and thank you for joining us today for Benchmark's first quarter earnings conference call. My name is Lisa Weeks and with you here this morning are Gayla Delly, President and CEO; and Don Adam, CFO. Gayla will provide quarterly highlights and strategic overview and Don will provide a detailed review of our financial results followed by question and answer period. Before we begin, I would note that we have set our remaining 2015 earnings call for Thursday, July 23 and Thursday, October 22. Our fourth and full year results for 2015 will be announced on Tuesday, February 2, 2016. Earlier today, we issued our earnings release highlighting our financial performance for the first quarter and we have prepared a presentation and we'll reference on this call. The press release and presentation are available online under the Investor Relations section of our website at www.bench.com. This call is being webcast live, and a replay will be available online following the call. Please take a moment to review the forward-looking statements advised on Slide two in the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today's remarks that are not statements of historical facts are forward-looking statements, which involve risks and uncertainties described in our earnings release and SEC filings. Actual results may differ materially from these statements, and Benchmark undertakes no obligation to update any forward-looking statements. The company has provided a reconciliation of our GAAP to non-GAAP measure in the press release as well as in the appendix at the presentation. I will now turn the call over to our President and Chief Executive Officer, Gayla Delly.
Gayla Delly: Thank you, Lisa and good morning to everyone. Thank you for joining us this morning. Please turn to Slide three in our presentation, a review of our first quarter highlights. Benchmark delivered consistent performance in a challenging quarter, a revenue of 621 million and earnings of $0.34 well within our guidance. Despite some demand softness within the industrial sector, the business performed overall as we expected. Our operation margin was 3.8% for the first quarter, ea 20 basis point year-over-year improvement. The first quarter operation margin highlights our team’s effort in three key focused areas. First, our ongoing operational excellence initiative. Second, a successful completion of the acquisition integration activity. And third and importantly building on our diversified revenue base in targeted growth market. In addition, we returned $16 million to shareholder through the repurchase of common stock during the quarter. Now please turn to Slide four for a current view of our portfolio. As noted in our last earnings call, we expected continued variability in our traditional markets that’s computing and telecom associated with seasonality and cyclical demand generated by new products refresh cycle. Our first quarter guidance incorporated these impacts and our revenues from computing and telco were in line with our expectations. We also anticipated seasonality to impact revenues from customers and other industry segment. In industry control, we experienced broad based softness in the first quarter. We believe this was related to foreign currencies headwind experienced by our customers in their own sales cycle. In our fourth quarter, sales to customers in our higher growth market exceeded 50% of our revenues for the first time in the company history with the activity levels associated with design of production in support of higher complexity programmed and products beginning to support our growth in these areas. This trend continued during the first quarter of 2015. Revenues generated in these markets represented 54% of our total revenue supported by the strength of bookings and ramping up programs in the higher growth markets which started to offset some of the seasonality and cyclicality in our traditional markets of computing and telco. We are pleased that we have built a foundation of operational excellence and cost discipline to continue increasing our operating margins while we continue to actively manage our portfolio. Please turn to Slide five. Our bookings for the quarter ones again aligned well with our strategic growth plan. We won 33 new booking including six engineering projects. These have an estimated annual revenue run rate between the 105 and 125 million. A key part of our strategy is to engage early with our customers for solutions for their success and this is what we are doing. While on the service, these bookings made a few light for the quarter, they represent the early engagement with our customers which is producing that health funnel of opportunities. I am pleased with the strong booking results especially highlighting the opportunity in medical and industrial segments. Our solutions in these segments require a high degree of early engineering design and technical engagement and we are continuing to enjoy with our current base and investing resourcing to support these opportunities. We’re excited to be supporting our customers and their new product innovation. We see their products across our service segment supporting the backbone for datacenter solutions for base of communication products and platform supporting the in and out of things as well as supporting infrastructure and solution set for medical and industrial products. I will now ask Don to provide additional inside into our first quarter financial performance.
Donald Adam: Thank you, Gayla and good morning to everyone. Please turn to Slide six for a summary of our results. First quarter revenues were $621 million which was within our guidance of $615 million to $645 million and was impacted by softness related to our industrial control customers. The foreign currency impact on our revenues due to the strengthening in U.S. dollars was not significant had approximately $2 million for the quarter. Net income on a GAAP basis was $14 million for the quarter including $5 million of restricting cost compared to $19 million last year. Non-GAAP net income for the quarter was $18 million compared to $19 million last year. Our GAAP EPS was $0.27 compared to $0.35 in 2014. Non-GAAP earnings per share were $0.34 for the first quarter compared to $0.35 last year. Our Non-GAAP operating margin was 3.8% compared to 3.6% during the first quarter of 2014. This continues improvement is a result of our ongoing operation excellence initiatives in our business mix. Other expense of $1.1 million or $0.02 a share during the first quarter was primarily related to foreign currency losses caused by the strength in the U.S. dollar. As expected during the quarter, we had $4.9 million of restructuring charges and integration cost primarily due to the consolidation of previously acquired facilities. The first quarter non-GAAP effective income tax rate was 20.9% compared to 16.4% in the same period last year. And we expect the tax rate for the second quarter to be approximately 21%. The diluted weighted average shares outstanding for the first quarter were 53 million shares. Please turn to Slide seven for a trending view of our operating income. On first quarter, non-operating GAAP income was 3.8% was better than our expectations especially in light of the industrial controls performance, which is a 29% increase than the year before and 110 basis point increase when compared to the first quarter of 2013. Now please turn to Slide eight to review our revenue by industry sector. Industrial control revenues were $199 million and represented 32% of first quarter revenues. These results were up 7% year-over-year based on new customer programs. On sequential basis, revenues were down 13% which was slightly greater than we expected during the lower sales volume to customer across multiple industrial segments. As expected, telecom revenues of $166 million decreased sequentially from the fourth quarter due to seasonality and were somewhat flat year-over-year. Computing revenues of $120 million decreased sequentially due to seasonality were $11 million less than the same period a year ago. Medical revenues were $81 million, which was consistence with prior quarter. This represents 11% year-over-year increase. We had several new programs had started ramping right in the quarter and we’ll continue to ramp into Q2. Testing and instrumentation of $55 million were up slightly quarter-over-quarter a significant difference in the year-over-year comparison increased $23 million for a customer who declared bankruptcy in 2014. As expected, we had no customers who are greater than 10% in total revenue this quarter. Now please turn to Slide nine, I’ll highlight a few balance sheet and cash flow items. Our cash balance at March 31st was $384 million. Cash available in the U.S. was $48 million. In the fourth quarter of 2014, we announced that our board authorizing the repurchase of an additional $100 million of our common shares. During the first quarter, we repurchased 662,000 shares at a cost of $16 million. We have 87 million remaining for future repurchases. Our near terms capital allocation remains focused on executing share buybacks and investing CapEx in the business for operational excellence. During the quarter we used $11 million in cash from operations, we do expect strong cash flow generation in the second quarter. Capital expenditures were $17 million and depreciation and amortization expense was $12.1 million for the quarter. We believe, CapEx will range between $40 to $50 million for the full year. Our cash receivable balance was $491 million, a decrease of $30 million from last quarter. And accounts receivable day were 71. The increase in the accounts receivable days from prior quarters primarily a function of the timing of sales and customer mix within the quarter. Inventory returns at March 31st were 427 million, an increase of 26 million from last quarter. Inventory returns were 5.3 which is consistent with the same period last year. Now I’ll turn the call back over to Gayla.
Gayla Delly: Thank you, Don. Please turn to Slide 10 to review our guidance. We expect our second quarter revenues to range between $635 and $665 million. And diluted earnings per share excluding restructuring and integration cost are expected to range from $0.37 to $0.41. At the net point, this reflects a 3.9% operating margin. In addition, our guidance includes an expected tax rate of 21% as Don noted. Restructuring and integration cost are expected to be less than 1 million next quarter. Now please turn with me to Slide 11 as we look at the industries we serve. An industrial control, we had forecasted a sequential decline primarily based on seasonality. However, during the first quarter, we lift this forecast by a number of customers in this segment. For the second quarter, we expect churns increase with stronger growth in Q3 and Q4 and this is based on new program during the second half of the year. In the full year 2015, we expect solid year-over-year growth in industrial which is an important segment with long life cycle product for Benchmark. Over the past few years, we’ve build a robust base of business in the sub-segment of transportation, energy, building infrastructure and power. While there is some softening and existing demand, we expect compelling growth throughout rest of this year moving into next year based on the transition of new products into full production. In medical, we continue to support the launch of new program and accept a mid-teen percentage increase for Q2 based on the anticipated program. We are pleased with our strides in the medical segment. We expect the second quarter to be especially strong with a return to normal growth pattern for the remainder of the year. Now moving to test and instrumentation, we expect demand in Q2 to be comparable to that of Q1 level. And for the full year, we expect test and instrumentation to be stable. In our traditional market, we expect telecom to remain flat next quarter and decline for the full year when compared to the significant strength and double digit growth that we experiences in 2014. Based on the R&D activities that are customers and an anticipated return to spinning the telco carriers expected, we see a ramp moving into 2016. For computing, after our seasonally low first quarter, we expect mid single digit growth in the second quarter with modest increase to follow throughout the year. And for the full year 2015, we expect computing revenues to modestly decline. Now turning to Slide 12. In summary, we continue to execute well against our long term strategy. And the first quarter was a positive start in a challenging environment. As we manage through the near term volatility in the industrial and telecom market, challenges will continue to arise. We are managing these challenges and building stronger more diversified customer base and solution offerings in these markets. Our consistent results are made possible, the hard work of our entire Benchmark team on a global basis. For 2015 and on, we remained focused on the opportunities that will have to greatest impact on our future success. Our portfolio managing that as we continue to add new customers and expand share with our existing customers. As our current result show, our operational excellence is another key area of focus and our efforts are paying off. We had successfully integrated our previous acquisitions and we’ll continue to balance our foot print and align our capacity to meet the needs of our customers. And finally, we remained strongly committed to solving our customers’ problems and providing solution to assist them and bringing their products to market. We believe the 2015 remains an important year as our higher growth markets continue to outpace that at the traditional market. We also expect sequential revenue in quarter-over-quarter margin growth this year with plans to exit the December quarter at 4.2% operating margin. In 2016, we anticipate a return to growth in our traditional markets and even further progress towards our 4.5% operating margin target. In closing, I want to again thank our customers, our shareholders and our employees for their support. I’ll now it over to the operator to open for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Sean Hannan of Needham & Company. Your line is open. Please go ahead.
Gayla Delly: Good morning, Sean.
Sean Hannan: Good morning. Thanks for taking my question here. So first in terms of looking at the growth and growth profile, so I understand that we certainly had some dynamics within the traditional segments last year and gave you boost and make comparisons right now a little bit more difficult. But it looks like you are going to be down year-over-year again in June, I think there were expectations already for that a little bit, but perhaps maybe a little bit more than anticipated. So just trying to understand if, when we look at 2015 and thanks for all the general qualitative color for the outlook for the year for the segments. Sort of way to get some type of view around how we think we can exit December, are we back into growth territory here across your business or we able to even get 2015 in aggregate to a flat type of year or is that opportunity just off table, we need to think about 2016? Thanks.
Gayla Delly: So Sean, we again provided color but we are not giving guidance for the full year. But generally as you see in the market, what we’ve incorporated and to the industry outlook that we’ve had provided is strength coming from our new program ramps, but we still see the marketplace, the currency headwinds impacting our customers sell through activities. And we see a strong level of engagement on R&D side and the excitement surrounding new products. So those are the puts and takes that have been incorporated into our guidance. And in a nutshell I would say that we are not expecting where the currency headwinds or the dynamics and any of the industries that we participate and that’s currently exist that those will subside by year-end. So some of those activities would be some of the telecom activities where we have seen significant growth last year. As we indicated, we expect that to be a return in 2016 not 2015 currency headwinds if expect those to remain impact the energy sector having some impact on current spending. Don’t expect that will subside. So those are the assumptions of the year that we have baked into our guidance and in order to provide the overall industry and segment by segment outlook that we provided. The tailwinds if you will that we have are the new programs wins and the ramps. So again we don’t have clarity to be able to truly provide what are considering full year guidance at this time. So what we are doing is giving color around what we’re seeing in the marketplace.
Sean Hannan: Okay, that’s helpful. And then question around the wins. I think Gayla you’d commented, look there is an acknowledgement that it’s not necessarily a high level but the nature of the wins are encouraging. Is there a way - is there some way we can get a little bit more of a conclusion here around how we should think about your win capture at this point, you can also remind us of how you consider targeted levels. This is probably the lowest level I think since the fourth quarter of 2012. So just trying to get a perspective there and to what degree we can get confidence that there is some resumption of win growth? Thanks.
Gayla Delly: Couple of things that I think are important. First of this as I noted, we are engaging earlier on, so it’s not just the share shifted is truly an opportunity to engage with customers on their outsourcing solutions. And then secondly sizing the opportunity and conducts with our customers as we launch those programs becomes challenging. So what we really done I think in response to some of the comments and thoughts that be the analyst that provided those is trying to really heighten up our view of flat program wins are, so that we see a higher conversion rate into revenue. And again as a reminder to everyone, our wins are full of new opportunities, not those that are just expected refresh of the existing products. And so we do not have a specific percentage that we put out that we expect that rate to be. And we do expect it to have variability from quarter to quarter. And that we are very excited about what we see in the funnel and some of the wins that we’ve had since quarter end. So what we’ve really done is focused on exceeding a ramp and a shorter cycle as being a pinpoint that we have including in our number. So the numbers we represent we want to see ramp into revenue in a 12 to 18 month period modest on point in the future that it is incorporate into an outlook currently.
Sean Hannan: Great, thanks for the perspective, Gayla.
Operator: Thank you. Our next question comes from the line of Mitch Steves of RBC Capital Markets. Your line is open. Please go ahead.
Mitchell Steves: Hey guys, thanks for taking the question. So I am just kind of looking at the networking segment, the day what happened with some of your competitors, we are mix results. So I am just wondering if you guys can clarify, I mean what happened in the quarter, we got to expect going into tune as well?
Gayla Delly: I mean in telco what we really see is some timing events. We had an exceptionally strong 2014, while others didn’t. And I believe there is just and offset the timing of different pieces being put down. And as we indicated some of the activities that we’re working with position us well for strength that the end of this year and end of 2016. So when we speak to cyclicality and seasonality, I truly believe that that’s the impact. But it doesn’t appear that all of the production it occurs simultaneously for telco for incidence. So I think it’s different features of the network are populated that we plan different parts of it where we saw just substantial strength as you recall last year.
Mitchell Steves: Great and then one quick follow-up, so when I get here I just got color that the revenue growth targets, since the new wins are coming from your non-tax segment, so we expect operating margin to kind of ramp up over the next all three quarter?
Gayla Delly: As we said in our comment, we have incorporated into our guidance 3.9% operating margin for next quarter which is another increase from this quarter and this quarter with an increase from the fourth quarter. So 20 basis points increased from fourth quarter to first quarter, a 10 basis point further increase expected on first quarter to second quarter. And then we expect to continue to drive improvement that we exit the year at 4.2%. So yes.
Mitchell Steves: Great, thank you.
Operator: Thank you. Our next question comes from the line of Steven Fox of Cross Research. Your line is open. Please go ahead.
Steven Fox: Thanks, good morning. Just first off on the industrial weakness that you are seeing seems like you are also pre-optimistic for the rest of the year. I am just trying to understand why you think it’s fairly shot lived, if I understand your comments right? And then secondly along similar lines, looking at your new wins for the quarter and looking back over the last few quarters, are you seeing any changes in the timing of ramp such related to the economy of currencies in terms of what your customers are doing. And if so, can you just sort of go over way that would be…?
Gayla Delly: So the industrial strength that we are seeing is associated with new program wins and ramps. And the softness that we saw we believe is primarily associated with as I mentioned the currency headwinds our customers are experiencing in their selling cycle. So we expect the ramps to continue and to outpace the headwinds associated with the currency impact by customers. I believe they got that down now into their forecast. And so we believe that’s incorporated. The second piece is as to ramp. So to the extent that we are engaging in products and the design in ramp phase, yes, the cycle to achieve total revenue target has been longer and again that’s why we’ve incorporated an outlook that seems to have a smaller opportunity for revenue growth because we’re not looking out three years to see when it ramps for 2.5 years. And in medical we are really looking at a tighter timeframe that when we can ramp it into to revenue stream.
Steven Fox: Great, that’s very helpful. And then just one real quick question, based on the stock repurchases in the quarter and given your fundamental outlook. Is that Q1 rate of buyback sort of what we should assume for the rest of the year?
Gayla Delly: Again we continue to balance our cash and utilize our cash in the U.S. to both fund our operating needs and to perform our buyback. So we’ll continue to manage that and we’ll operate within a normal range there.
Steven Fox: Okay, thanks.
Operator: Thank you. Our next question comes from the line of Sherri Scribner of Deutsche Bank. Your line is open. Please go ahead.
Sherri Scribner: Hi thanks. I just wanted to dig a little bit into the compute segment, it looks like it was a bit softer in the quarter end and I wanted to get a sense of what drove that? And then looking for the full year, your guidance for a modest decline, I am just trying to understand is there some big ramps in the second half to get you to a modest decline because of sort of down 8% and then down again in the June quarter on year-over-year basis? Thanks.
Gayla Delly: Sherri, I think computing actually came in pretty close to what we accepted. And you are correct, we did expect some cyclicality and seasonality in Q1 and beyond that the outlook that we have is associated with program ramps and new wins. So I do believe that we see some choppiness in both telco and computing and variability that will continue to see. And so with modeled and layered based on our outlooks associated with customer programs that we are supporting. But no unusually dynamics there as compared to what we have forecasted.
Sherri Scribner: Okay, that’s helpful. And then on the telecom side, you talked about it a little bit, but can you just remind us what type of customers you are servicing there, because we’ve had sort of different commentary from given supply chain companies on weakness in certain areas and strength in other areas. If you could give us a little more detail on the type of telecom business you are guys are doing? Thanks.
Gayla Delly: Yeah, really as we covered some of results communication backhaul equipment and really infrastructure pieces there. So optical, it really runs through pretty much again. So again really have to do with probably the when our customers are launching new program, they really think be very specific in launches and getting those in the field. And then there is a refresh cycle. So I don’t know that there is a necessarily different based on the actual place in the telecom that you saying as much as it is the timing of the new product launched and the success of those programs in the field.
Sherri Scribner: Thank you.
Operator: Thank you. Our next question comes from the line of Jim Suva of Citi. Your line is open. Please go ahead.
Jim Suva: Great, thanks very much. And a quick clarification question, Gayla if I heard correctly your business wins outlook that you gave today and you mentioned it little bit faster, that incorporates, it’s kind of customers having a little bit more cautious or adjustment to the FX environment if they find corrected. Can you conform that you guys that kind of building in some conservative around the new economy that we’re focusing in today’s view?
Gayla Delly: Yes, again as we’ve - just a normal for us and our customers adjust our outlook based on the current environment and absolutely that has been incorporated not into our focus by also entire bookings.
Jim Suva: Okay and then on the past quarter’s bookings, I know we don’t go back on those new wins and restate those, but I guess there is kind of two ways to look at it. One is, do you think that those need to be tempered a little bit or because they are new wins and truly something kind of new that a whole valid or you think they need to be adjusted slightly modestly to the FX environment that we sit and look at today?
Gayla Delly: I wouldn’t say that we would restate those. What you may see occurring in current environment with the slightly elongated ramp. But we haven’t seen the products going to fall off or the demand outlook from customers make them only think their process, so their R&D has or so they ramp but sometimes it will make it take a little bit longer to get through the process generally because they are focused on their existing programs and products and focused on their sell through on their current products.
Jim Suva: Great and my last question on capital deployment, you brought back some stock, you are also ramping new programs and then also when we think about, you’ve had a lot of success in growing your industrial controls business. Is it fair to say that success gives you more confidence in going down the industrial controls even more and maybe augmented with acquisitions or do you think that organically you have the building blocks in place that you are going or you think you need to add to some of that as far as accretion, because you guys - acquisition, because you guys have a very fortunate cash situation and was kind of seeing to give how you view your capital plans? Thank you.
Gayla Delly: So yes, we’re always looking at opportunities to continue to invest in our business and to grow our portfolio both [indiscernible] and our ability to continue to grow with our customers and targeted customers. So absolutely we are in the market looking at ways to engage and invest. And then clearly as Don indicated, we will continue with our buyback as well as investing through CapEx in this growth of our existing operation. So all of the above is incorporated in our thought process because we have demonstrated through our results that we are able to drive improvement.
Jim Suva: Thank you so much to you and your team.
Operator: Thank you. Our next question comes from the line of Brian Alexander of Raymond James. Your line is open. Please go ahead.
Brian Alexander: Okay, thanks. And maybe just a question on the gross margin, the performance was really impressive especially given the revenue softness in the quarter. I think that might be the strongest gross margin at least that I can recall. So can you just talk a little bit more about some of the key drivers there, how much of it was mix, are you delaying any investments that you had planed because of the softer revenue environment. I am just trying to get a sense for what drove the 8.3% and how sustainable is 8% plus as you think about your operative margin objectives of 4.2% by the end of this year and ultimately getting to 4.5?
Donald Adam: And so Brian, in terms of the margin improvement, it’s really, it’s several factors, it’s utilization rates that you know we have over the past year and half or so since the acquisition we have - we do start footprint and that’s been the contributor. Efficiency, operational excellence, initiatives that were embarked down and we’ve been moving toward those for the last three or four years. Lastly is mix, in terms of you comment on reducing investment that you can see, we are now reducing investments, we’re pretty heavy in Q1 in terms of CapEx of 17 million. So really now you know there is not one thing it’s a combination of all three factors that are contributing to the mix in terms of sustainability. As we’ve said, we anticipate margins - our operating margins improving throughout the year. So we believe at this point, gross margins are going to move with that.
Brian Alexander: Okay and then maybe just Don sticking with you the balance sheet, you made some comments earlier about DSOs, maybe if you could just kind of go through those again they were up quite a bit in the quarter, I don’t think the quarter was particularly back and loaded base on the revenue performance and the revenue outlook. So DSOs is kind of a question, inventory days were flat year-over-year, but payables were down quite a bit, so I know that led to a negative cash flow outlook in Q1, but it sounds you are really confident that that will snap back in Q2. Do you think you are still on track for the 100 million in free cash for the year or do you think that’s off the table given the performance in Q1?
Donald Adam: No, I think we are certainly as we indicated, we think we’re going to have a pretty strong Q2 probably in the $40 million. In terms of the balance sheet metrics, inventory, we typically see a seasonally low inventory returns, we’ve seen that now for a couple of year now. Part of that is most of that’s going to be - we’ve now increased sales for Q2, so we’ve got have inventory to support that business. In terms of the receivables again it’s really is a function of timing when the sales occur. If you go back and look at the performance for the last five years, we’ve actually had a couple of other - typically the first quarter is going to be the worst performing quarter in terms of - and afterwards performing better in terms of how the metrics sort of lined out. So we do anticipate receivables and inventory improving as we go into Q2 and balance of the year.
Brian Alexander: Sorry, just to clarify, the 40 million was that operating or free cash flow. And then I think you had talked about 100 million of free cash for the year?
Donald Adam: It’s operating cash flow.
Brian Alexander: And 100 million for the year, is that still on track?
Donald Adam: It’s going to depended on what the second half of the year looks like, so it’s - it depends on the working capital requirements to support the needs of the business, so.
Brian Alexander: Okay, thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Rick D'Auteuil of Colombia Management. Your line is open. Please go ahead.
Richard D'Auteuil: Hi guys how are you?
Donald Adam: Good morning, Rick.
Gayla Delly: Good morning, Rick.
Richard D'Auteuil: So just a follow-up on that Q2, the working capital was looked a little concerning but I think you’ve explained that away a little bit. What is CapEx expected to be in Q2, so we can get to free cash number?
Donald Adam: I think Rick, for the year, we’re expecting CapEx to range between 40 and 50, we are a little bit heavy in Q1, just really a timing. So again overall CapEx to be in the 40 million to 50 million range consistent with last year.
Richard D'Auteuil: Okay, so is it - other than Q1, is it heavy, heavy first half weighted or?
Donald Adam: I would expect Q2 to decline.
Gayla Delly: It typically will average around 10 million a quarter put up, 10 million but no significant is in future calls if I can [ph] any one single quarter.
Richard D'Auteuil: Okay, thank you. And then Gayla on your commentary around the new business wins, it sounded like the criteria has changed and yet I think the presentation on page five, it looks like you are just using what you had previously reported as your new business wins and not necessarily changing going back and retroactively changing the criteria. I don’t know if you’ve done this exercise but under your old criteria not necessarily the 12 to 18 months, what would that 105 to 125 look like in this that you are estimating for Q1 wins?
Gayla Delly: You’re correct, Rick. We’ve done that for sector change and not a retro sector change though. I didn’t either challenge our team to restate what the old carriers would be under kind of tighter criteria nor, that we try to forecast the current under the old criteria. I think again the key that we are focused on is gain some knowledge and credibility around being able to ramp these bookings that we publically share into our revenue stream in a reasonable and meaningful way in a period that we feel comfortable with and not something that point out to a period two, three years out for all the programs. So it is trying to hold on period, again not trying to specifically say it’s like a current asset that convert in one year. But trying to add some more of focus to that around 12 to 18 month period is really what we’re looking at, because we believe that’s a reasonable outlook that investors could expect because ones you stack three, four quarter of these program booking on that may go out for years on done it really become less meaningful. So we wanted to be more meaningful as to what we could expect to add into the revenue stream. And you see that demonstrated and even recent periods with the growth that we’ve seen and industrial for incidence and that occur.
Richard D'Auteuil: What you were promoted to the CEO’s part, one other things that we talked about, you and I anyway was that you are going to take a more conservative view on the new wins and in the past there were some new wins that ended up being done. And if you look back since you become CEO and retroactively sort of evaluated that the numbers that you guys have put out and gone back and tested them at the 12 to 18 month marker. Are they generally coming in at the levels that you said, I know historically they hadn’t and I am just wondering if you are under your watch that they’ve come closer to the estimates you guys have provided?
Gayla Delly: Well I think a couple of things. First of all, I wouldn’t say is the change from myself or superiors retro section of how we are doing thing. It’s really very much around the markets right. So the markets in the time to ramp and the programs that we are winning being longer like cycle products and giving engaged earlier and the engineering and design says really lot looking at the program wins a little bit differently and so that has the focus really trying to get that and to a sort of timeframe for conversion. And so have we seen this? Yes and that’s what I pointed to in my prior answer and that was we saw that we had reported in 2013, a strong bookings in telco and we saw very strong performance in 2014. And so we are beginning to get more I guess velocity in the conversion and expect to continue to see that and where we went you know kind of next look to focus is how we then are able to convert the new programs into further ramps and growth with some of our expanded and diversified customer base. So yes, it’s working and we’re very pleased with the results.
Richard D'Auteuil: Okay, I appreciate it. I mean the bottom line is we shouldn’t be looking at Q4 ’13 versus what you just - where your new programs maxed out versus where you are now, it’s almost like we need to draw a line and this is what we are going to Benchmark off going forward?
Gayla Delly: Yeah, I think that make sense based on our focus for some of the new programs and where we are seeing opportunities to engage with customers.
Richard D'Auteuil: Okay and you’ve mentioned funnel strong but do you quantify that and how is it trended?
Gayla Delly: No, we don’t quantify the funnel as the changes go time to time, but it is more a quality of funnel if you will. And we are very pleased with the quality of funnel and opportunities we see out there. There are some real opportunities to support customers that either have not outsourced or outsourced as completely in this environment and but we see in the number of the that’s fairly within the capability set the Benchmark has and are well served by our geographic trends. So between skills and so currently feel very good about where we are participating on the new opportunities and see the funnel aligning.
Richard D'Auteuil: Okay, thank you very much.
Operator: Thank you. [Operator Instructions]
Gayla Delly: Operator if we don’t any more questions, we will end the call for today and thank everyone ones again for participating and we’ll be following up within calls here in the office today. And have a great day everyone.